Operator: Good day and welcome to the Avid Q4 Earnings Conference Call. Today’s call is being recorded. At this time, I’d like to turn the conference over to Dean Ridlon. Please go ahead.
Dean Ridlon: Thank you, Glenn, and good evening, everyone. I am Dean Ridlon, Vice President of Investor Relations at Avid Technology. Welcome to our Q4 2017 earnings call. With me today are Jeff Rosica, our Avid's CEO and President; and Brian Agle, Avid’s Senior Vice President and Chief Financial Officer. On our call today, we will be using both non-GAAP measures and certain operational metrics, both of which are defined in our Form 8-K and supplemental financial and operational datasheet available on our Investor Relations webpage. These non-GAAP measures are also reconciled with GAAP measures in the slide deck that accompanies this call, the tables to our press release and in the supplemental financial and operational datasheet available on the Investor Relations section of our Web site. I would also like to remind you that certain statements made on this call are considered forward-looking statements within the meaning of the securities laws such as, for example, statements about expected future operating results and financial performance and the progress of our transformation. Forward-looking statements are inherently uncertain, not guarantees of future performance and are subject to certain risks and uncertainties that could cause actual results to differ materially from our historical experience and our present expectations or projections. Any forward-looking information relayed on this call speaks only as of this date and we undertake no obligation to update the information, except as required by law. For additional information, including a discussion of some of the key risks and uncertainties associated with these forward-looking statements, please see the Forward-Looking Statements section of our press release issued today as well as the Risk Factors and Forward-Looking Statements sections of our 2016 and 2017 Annual Report on Form 10-K available with the SEC, the Avid Technology Web site or our Investor Relations department. We've also added a supplemental presentation in an effort to complement today's narrative. We hope that you will find it helpful. We will be recording today's call, which will be available as a replay for a limited time. You may replay this conference call and access the supplemental presentation by going to the Investor Relations page of our Web site and clicking the Events & Presentations tab. Later, we will be conducting a question-and-answer session and instructions will be given at that time. And now I’d like to turn the call over to Jeff.
Jeff Rosica: Thanks for greater start Dean. So hello everyone and thanks for joining us. As we recap our 2017 results and discuss how we are driving toward delivering further improved results in 2018, we'll move along briskly with our prepared remarks as we will be covering a lot of ground today. And then we will allow for plenty of time to answer your questions and we will do that after my closing remarks. Personally I am very enthusiastic about Avid and the underlying value and nature of our opportunity. One of the goals I've set for myself as CEO is to communicate with the shareholders about this more simply and in a more straightforward manner. Today's call is built around that concept. Now if we talk about the management transition which was a very recent and important news for Avid, I wanted to take a few moments on this call to talk about it here today. The first thing I want to note is I’m surrounded by a deep bench of management talent across the company. This executive leadership team we have in place today is a team that shaped Avid's strategy and drove the company's transformation to a successful conclusion in 2017, and is now keeping our organization focused and aligned to our customers needs in order that we can capture the market opportunity. These are individuals who have rich experience in media and entertainment, technology, and our customers operations. They understand well how to prepare Avid so that we can help our customers get to where they want to go next and how we can capitalize on that opportunity and convert that into positive financial results. Together we set the annual operating plan for 2018, that is both aggressive and achievable. Our whole organization today is aligned to and focused on executing that plan. For my own part, I’ve been in the media and technology for three decades. I've grown up in this business. I know the industry and I know our customers very well. And I don't think there is any technology supplier in a more exciting position to lead this industry. I've learned a lot about Avid's business, inside now since joining the company in 2013, starting initially as Head of Sales and then progressing to also managing the marketing and services groups. Then becoming President and now as CEO. And during this time, I’ve been intimately involved in all aspects of Avid's business so the management transition was an easy and natural progression for the company and to be honest for me. I continue to see the trust we’ve earned from our customers over the many years to see the possibilities in our MediaCentral platform, the cloud, and other ways we’ve been innovating. Quite frankly, I’ve also been overwhelmed and humbled by the hundreds of positive messages I received directly from our global customer community immediately after being named CEO, and I’m eager to tighten our bond with them even further. This company has been through a lot at all levels. We've got the right talent in place now and the team that can and will win both for our customers and our investors. I'm acutely aware that Avid has been a disappointing investment for many of our investors. I want to be clear that my top priority is to change this. In the course of Avid's leadership transition last month, we also took the opportunity to separate the CEO and the Board Chair rolls, which supports better corporate governance and accountability to our shareholders. I personally enjoy tremendous confidence working in partnership with our new Chair, Nancy Hawthorne and the entire Board of Directors who all bring a great depth of financial, business, and media industry experience to help us in guiding our company. We are also pleased that our Board gained more depth and experience with the addition of Dan Silvers as an Independent Director, whose extensive Board experience will enhance Avid's ability to create shareholder value. Dan joins Peter Westley as an additional shareholder representative on our Board. I’m also pleased to have been elected to Avid's Board and I do look forward to serving our shareholders in that capacity. Now looking back on our fourth quarter in 2017, we are pleased to have had a relatively strong quarter, although we still have some work to do with improving our gross margins and generating more cash. Additionally, in China, we corrected course during Q4 by establishing a much stronger partnership structure to stay on track to achieve our goals in that important market. Our strategy to establish more enterprise deals are for the success in the quarter as we brought in a number of major customer wins and multiyear commercial agreements. We also showed strong revenue contribution from Avid's strategy to help individual creative professionals and aspiring pros leverage our tools and solutions. In Q4 digital sales of this segment increased 24% year-over-year and software subscriptions grew 54% year-over-year. Today we’re approaching nearly a 100,000 active cloud enabled subscriptions with these users, many of which are new to Avid. Now if we turn our attention to the full-year 2017 results, Avid turned in a solid performance overall when contrasted to prior years and advanced with a number of key strategic goals throughout the year. We delivered four consecutive quarters of generating positive adjusted free cash flow as well as delivering improved operating results. I’m pleased with our growth in bookings, excluding greater China. We achieved sequential bookings growth throughout all four quarters of 2017 and each quarters bookings in a year were higher year-over-year than the comparable quarters in 2016. We should point out that our bookings performance reflected strong contribution from all of Avid's geographies and customer tiers. Our significant growth in large strategic enterprise commercial agreements contributed to the growth and backlog for the current year. We are also realizing a meaningful and growing contribution to our results from our digital go-to-market and software subscription strategies. And we are encouraged by the strides we made throughout the year in product development, marketing and sales to establish the cloud partnership that we began with Microsoft in the first half of the year. In our 2017 results, I think show that we’ve a solid strategy. I think we are progressing well on the improving business performance and we’ve built a good foundation to have an even stronger 2018. We will be making some minor adjustments to our strategic priorities, but not to our overall strategic plan for achieving growth, increasing our profitability and generating better cash -- better free cash flow. I look forward to communicating further specifics on these adjustments throughout the coming quarters. But here are my initial points of emphasis, I want to share with you. First of all, in line with continuing our two-pronged approach to grow enterprise and individual customers, you will continue to see Avid's sharpen execution on the MediaCentral platform and our product strategy through continued innovation and an enterprise-wide and enterprise-level customer delivery. We're also going to augment our marketing efforts and our product development to drive even more uptake among individual creative users for our tools and solutions. During the past year, we've also made important progress and well ahead of our peers in delivering cloud ready platform that can meet the needs of our customers and users today. And to be honest to prepare them for the future. Our adjustments will focus on achieving optimal platform performance with the privatization of our projects that offer near to medium term returns on those related investments. We are also taking the need steps to dramatically improve on our hardware strategy and to optimize our global supply chain, so we can deliver greater speed and flexibility, reduce costs, and improve product quality. Additionally, with just three months into our new strategic go-to-market alliances with Hong Kong-based DMT and NDT and these are two organizations that have each got 20 years of experience reselling Avid. I will tell you that initial execution and results from these expanded partnerships are encouraging. Overall, for 2018, and beyond operational optimization for greater efficiencies and speed of the organization will continue to be a major focus for us. Ultimately leading to continued improvements in business performance and cash generation. Now let me turn it over to our CFO, Brian Agle, who will step you through the important details of our financial performance and our outlook. Then I will come back to you with some brief closing remarks before we take your questions. So Brian.
Brian Agle: Thank you, Jeff, and good afternoon everyone. Let’s turn to Slide 12. We are pleased as the fourth quarter met or exceeded our guidance. Bookings and adjusted free cash flow were favorable to guidance. Revenue, operating expenses, and adjusted EBITDA were within our range. Please note, when we issued the Q4 guidance for operating expenses, we anticipated a $4 to $5 million expense benefit related to the harmonic settlement. Turning to Slide 13. We were happy with our strong bookings performance in the second consecutive quarter of revenue growth. We also had improvement in adjusted free cash flow, both year-over-year and sequentially. Excluding greater China, bookings were $140.8 million, an increase of 15% year-over-year and 37% sequentially. Bookings growth was driven in part by closing large multiyear commercial agreements. The continued strong growth of digital sales, up 24% year-over-year and subscriptions up 54% year-over-year contributed to our bookings performance. Non-GAAP revenue was $107 million -- 107.3 million for the fourth quarter, up 2% sequentially. Excluding the impact of the pre-2011 revenue amortization and the elimination of implied post-contract support or PCS, revenue grew 2% both year-over-year and sequentially. The non-GAAP gross margin percentage adjusted for the impact of pre-2011 and elimination of PCS was 56%. We were disappointed with this result, which was impacted primarily by product mix and low margin professional services deals. In addition to those, these two specific areas, we're looking at everything including our cost of goods sold, suppliers, pricing, shipping costs and fulfillment supply chain. We expect gross margin to improve in the coming quarters. Non-GAAP operating expenses for the quarter were $48.2 million. Our non-GAAP operating expenses decreased $1.9 million year-over-year or 4% and decreased $5.7 million sequentially or 11%. Excluding the harmonic expense benefit of $5 million sequential operating expenses would be flat and year-on-year expenses, operating expenses would be up 6%. Excluding the impact of the pre-2011 revenue amortization and elimination of implied PCS, operational adjusted EBITDA of $14.9 million for the quarter was up 31% sequentially and flat year-over-year. Of course, we did experience the benefit from the one-time harmonic settlement. Adjusted EBITDA margin as a percentage of revenue was 14%. Adjusted free cash flow was $4.8 million for Q4, up $2.8 million year-over-year and $4.2 million, sequentially. Including nonrecurring spending, free cash flow was $1 million in Q4. Now to Slide 14. Let's review the full-year 2017. Bookings excluding greater China were up 12%. While revenue excluding pre-2011 and elimination of PCS declined 4% for the full-year 2017, the second half of the year saw its growth of 3% from a year-ago. Gross margin of 59% was impacted by the Q4 decline, as we saw as we enter 2018 we expect full-year non-GAAP operating expenses excluding the $5 million benefit related to the harmonic settlement to remain flat. Operational adjusted EBITDA was $46 million for the year, up 19%. Adjusted free cash flow for the year was $80 million, an improvement of 58.5 million year-over-year. Turning to Slide 15. Similar to what we have shared in the past, we provide the breakout of greater China and rest of world bookings by quarter and the totals for the year. In January, we announced that we had signed five-year agreements with two partners that have exclusive distribution rights in their respective end markets for all of greater China. The new agreements include performance guarantees with a minimum of between 6% and 10% growth per annum, As part of these new announcements we booked 19 million for the greater China in Q4 2017. This reflects the D booking of the $66 million remaining value of the Jetsen contract netted against the $85 million bookings commitment with our two new China partners. Moving to the balance sheet on Slide 16, at December 31, 2017 we had cash of $57.2 million, which included net proceeds of $14 million from the expansion of our credit facility, of which $2 million was used to retire convertible debt. We also have a $10 million undrawn revolver for total liquidity of $67.2 million. Our accounts receivable balance is $40.1 million, inventory was down by $12.3 million year-over-year and $2.7 million, sequentially to $38.4 million. At the end of Q4, long-term debt was $204.5 million. We were compliant with our covenant leverage ratio as of Q4. At 12/31/17 total revenue backlog was $536.1 million, which includes deferred revenue of $194.6 million an amount that we estimate will be reduced by approximately $105 million due to the adoption of the revenue recognition standard ASC 606. I will discuss this in further detail later. Our total revenue backlog also includes $341.5 million of contractually committed unbilled backlog representing future billings, revenue EBITDA and cash. This backlog is grown by $138 million over the past year and includes the net benefit of the new China agreement. This places us in a strong position for growth as we have entered 2018. Now to Slide 17. Adjusted free cash flow in Q4 increased $2.8 million year-over-year to $4.8 million. This is the fifth consecutive quarter of positive adjusted free cash flow. Now to Slide 18, as you recall from providing guidance support Q4, we said the 2016 bonus of $9.3 million would be paid in October. This chart shows the quarterly free cash flow as well as a normalized view for the 2016 bonus payment made in Q4 2017. In 2018, free cash flow will be our primary reported cash flow metrics. To normalize you as shown by the dotted boxes will be more indicative of the 2018 seasonal free cash flow trending, as we will pay our 2017 bonus in Q2 2018. Now to Slide 19. As in the past we’ve provided details of free cash flow an adjusted free cash.. In Q4, for the full-year 2017, our adjusted free cash flow was $4.8 million and $18.2 million, respectively. Our free cash flow for the full-year 2018 was 1 million, which included 17 million of restructuring efficiency and other cash payments. We expect these nonrecurring payments to be approximately 7 million in 2018. Overall, we were pleased that free cash flow improved by $61 million in 2016 to 2017. Now to slide 20. I'd like to briefly talk about a couple of updates related to the business. We will be transitioning from one of our large hardware suppliers during 2018. This transition is expected to be completed by the end of the year. The products impacted by this transition are primarily audio and does not include our storage products. Due to the transition, we will be making additional investments and inventory during 2018 which will adversely impact free cash flow by proximally $5 million. We expect to recoup this investment no later than 2019. During the first quarter 2018 and $8/5 million letter of credit was issued to the supplier to ensure a smooth transition. Now to Slide 21. Second, I’m pleased to report that our 10-Ks shows that we have successfully remediated our material control weakness. As you may recall, at the end of 2016, we identified a material weakness. We worked hard during 2017 to remediate the weakness and successfully -- and have successfully done so. Turning to slide 22. Now with the topic of new revenue recognition standard ASC 606. As most of you know, effective in 2018, all public companies have shifted to this new revenue recognition standard. This standard brings GAAP and IFRS closer together. Importantly. this is not changed cash bookings nor billings. The new standard causes us to reduce the deferred revenue on our balance sheet. You may remember that as of 12/31/16 deferred revenue balance, we estimated that the 606 reduction in deferred revenue would be approximately $65 million. After another year of sales in 2017, we now have some rate reduction to the 12/31/2017 deferred revenue balance to be approximately $105 million. On the plus side, the new standard also accelerates revenue recognition for software products and professional services. When you net out the haircut against acceleration of revenue, we estimate the adoption of the new standard will the favorably impact recognized revenue during 2018 by $11 million. While this adjustment will impact our reported results, I’d like to remind you that the November 2017 term loan amendment changed EBITDA definition for covenant purposes to include the ASC 606 haircut as an add back. Now let me turn to Slide 23, to illustrate the impact of 606. On this table, we have shown how the $105 million of ASC 606 adjustment reducer deferred revenue from a $195 million at 12/31/17 to $90 million at January 1, 2018. This adjustment is isolated to the balance sheet and close down to equity/ The deferred revenue haircut will not hold revenue line on the income statement/ As you can see on the right side of the slide, the full amount of the ASC 606 haircut in 2018 is $42 million, a part of the total $105 million deferred revenue haircut. However, in 2018, $31 million of estimated revenue recognition will be accelerated due to the revenue recognition standard under ASC 606. So the net impact is estimated to be a reduction to 2018 revenue of $11 million. Next I'll talk about full-year 2018 guidance. For 2018, we're going to use a simplified set of metrics that can be forecast and manage. This year we will be guiding to three key measures for how the business is performing: revenue, adjusted EBITDA, and free cash flow. For the quarters, we will be guiding revenue and adjusted EBITDA. For 2018, we expect revenue to be in the range of $404 million to $434 million and adjusted EBITDA to be in the range of $39 million to $51 million. For comparison purposes, after adding back the $11 million haircut related to ASC 606, 2018 revenue under ASC 605 would have been $415 million to $445 million and adjusted EBITDA would have been $50 million to $62 million, keeping in mind that ASC 606 does not impact cash, free cash flow -- excuse me, not impact cash, free cash flow 2018 is expected be in the range of $2 million to $14 million. Now let me turn to Slide 25 to talk about our Q1 2018 guidance. For Q1 2018, we expect revenue to be in the range of $95 million to $105 million. Adjusted EBITDA is expected to be in the range of $3 million to $9 million. For comparison purposes, after adding back the $2 million haircut related to ASC 606, Q1 2018 revenue under ASC 605 would have been $97 million to $107 million and adjusted EBITDA would have been $5 million to $11 million. With that, I'd like to turn the call back to Jeff for a few closing remarks before we go to Q&A.
Jeff Rosica: All right. Thanks, Brian. So I’m closing on behalf of the Avid leadership team, I want to be clear that we're going to working hard to ensure that the opportunity in Avid's position becomes increasingly clear in our results. With our better aligned structure and faster product innovation, Avid is in a much more advantageous position today than we were just a year-ago. The team is more confident than ever about Avid's capacity to deliver new shareholder value. The team has a lot more work to do to improve our performance, but we’re pleased with our turnaround especially when you consider what we've -- that we went from a negative $60 million free cash flow during 2016 and move to slightly positive cash flow of $1 million in 2017. This is a result of a lot of hard work across our team focused on cost, but also focused on repositioning our business to be able to capitalize on the market opportunity and to drive top line growth. Going forward, we’re going to place an intense focus on leveraging our mission-critical position that we've earned with so many media enterprises around the globe, and expanding on the important role Avid plays for creative industry individuals across film, TV, and music. We enjoy a great leadership status in the market that we serve and now our job to be frank is we got to translate that incredible value of our franchise into clearly evident financial results. We are keeping our focus on achieving key strategic objectives to drive profitable growth to improve revenue visibility and of course cash flow and to become in even better positions in what we're doing to help our customers and the company capitalize on emerging technologies including the cloud. So overall our outlook and our 2018 guidance reflects our confidence in our strategy and our expectation for improved business performance. And so, with that, we will hand it back to the operator, so we can start taking questions.
Operator: Thank you. [Operator Instructions] And we will go first to Steven Frankel with Dougherty & Company.
Steven Frankel: Thank you. So Jeff let's start with gross margins. And they really have gone down precipitously throughout the year. For a company that talks a lot about their software content, that doesn't make a lot of sense to me, so maybe it is the hardware side that’s doing it. What are you doing to improve those margins and how long before we start to see that decline stabilize and start to move back up the other way.
Jeff Rosica: Okay. Its good question, Steve. Obviously, I’m personally disappointed in the margin results for Q4. And this is an area that we're putting focus on immediately to make sure we can change it. Now there is a lot of one-time hits that we took in Q4, but even with that I still think we've got a extreme focus on our margins, and we're looking at everything from our cost of goods, looking at all costs are having quite frankly COGS. We are looking carefully our pricing strategy and we’re looking at areas like professional services where we really need to improve our margin profile. I think our core business to margins are performing quite well. I think we just have to address some of these other areas that are impacting the net result. I don’t know, Brian if you want to additional any color or clarity to that?
Brian Agle: No, I would agree. I think the mix of hardware in Q4 and to your points, some of those one-time charges along with professional services, this is an area that we're focusing on. Certainly, in the future we're looking to more and more move our mix to software world where will have greater margins. Part of the hardware supplier transition will move as more and more to a more efficient hardware supply chain and position us better for software growth.
Jeff Rosica: Yes, I think I would just say, Steve, in closing this, we -- I'm confident that we're going to bring the margins back background to first of all where they should be. But more importantly grow them over time. I think we’ve got a great opportunity to grow the margins that we got it -- stayed very, very focused on that this year.
Steven Frankel: And where should they be --- should it be a 50% product gross margin business.
Brian Agle: I'm not sure three weeks and I would tell you that today. I'm happy to share that maybe in future quarters. But maybe we’re doing a lot of announces right now as soon as we start to see where the results are coming in for Q4. We didn't like -- that we lost a couple of points there, so that’s when we looked at what the issues were. I'd say this, I'll commit you that we're looking closely the issue. We are going to dig in deep and we’re going to identify our targets and move actions forward. We already are moving some actions forward, but there's obviously we’re working on that.
Steven Frankel: Yes.
Brian Agle: Yes, I will add [multiple speakers] with 606 coming in 2018, we will see more direct revenue impact connected with our sales of hardware. It will just to be clear and it should be a more pure margin versus a lot of what we seen especially with some of the PCSs that’s gone through in the prior year's.
Jeff Rosica: Yes, true.
Jeff Rosica: Let me try to dissect that. So 606 -- yes, I understand the PCSs going away, but the 606 have any impact on the reported gross margin, just kind of apples to apples? Does that help your gross margin because you recognized more revenue upfront on some of these deals.
Steven Frankel: Well, certainly on software despite losing some of the deferred revenue on software it will be more immediate, so to be more direct.
Steven Frankel: Okay. And looks like maintenance and subscription was down 10% year-on-year and you talked about the strong growth on the subscription side. So has something changed that’s lessened your tax rate for subscription, there was a big move on over the last couple of years to increase that maintenance stream. Did something reverse this year or in Q4?
Jeff Rosica: So I think I would start with some of the headwinds related to the pre-2011 in implied PCS revenue, that was one item. And then we're seeing that our operational maintenance was down 3% year-over-year and 5% sequentially. Even though subscription was up 76% year-on-year, but down slightly in -- sequentially 14%.
Steven Frankel: And do you have a theory as to why it's down again, I thought that the customers are starting to see the value of staying on maintenance to Avid?
Jeff Rosica: No, I think there -- when we say this, they’re -- we are not really seeing a lot of churn of accuracy in very, very low turn. So that hasn’t changed at all, Steve. But I think what’s happened is that as product price points come down on some of our traditional support maintenance that obviously -- that actually does have an impact on the amount that we generate from that. So I think we'll see probably -- hopefully some improvement in that over the course of this next year or two. But I don’t believe it's an underlying issue on this side.
Steven Frankel: And going back -- circling back to gross margins, again, and you mentioned this in the remarks. Do you think the company's maybe been two aggressive in pricing over the last year and maybe that's part of the gross margin pressure.
Brian Agle: I wouldn’t say that. I mean, we are still digging into that to look at it pretty carefully. In some cases there are some of the enterprise deals that we do, do have a lower price point, but they go after more share of the customer. But I think overall the mix looks pretty good. I think we just have to look more carefully at the pricing strategy to make sure that we're aligned especially if cost of goods on certain devices are changing. And as we get to end-of-life, I think we also are going to always see and we’re near the end of the life of a product on the hardware side, you can get a lower margin when newer products come out they’re higher after the initial run. So I think it's also a little bit of timing on hardware, but I think a lot of what we have to do here is really about our hardware strategy and make sure we got the right margin profile on those products.
Steven Frankel: Okay. And Brian just to clarify that operating expenses will be flat, so you mean -- that flat implying about $220 million? Because I’m adding back the $5 million from harmonic?
Brian Agle: That's correct.
Steven Frankel: Okay. And what's different about these China partners that gives you more confidence than the Jetsen deal, because certainly Jetsen was spun [ph] as a high-profile partner that had deep roots in the business that would do well for you. And what kind of incentives or sticks do you have to make sure that this agreement ramps the way it supposed to?
Jeff Rosica: Well, I think a couple of things, Steve. This is Jeff. So, first of all, Jetsen obviously we were very encouraged by their initial work and where they -- our initial plan with them. I think we start to get concerned on their execution throughout the year and to be honest we monitored it very, very closely and work with them very, very closely to turn things in the right direction. And so we had to work on that quite a bit. I think for them they may have bid off too much and we thought they could take on a wider role. I think they bid off too much in what they did. I think with the new partners we have two very known quantities, that's if you remember in the release that we did, we specialize these partners for that very reason. Ones very -- one is a very proven distributor in the greater China market on our audio side, and the other one is a very experienced systems integrator and distributor on the video or the more broadcast and media side. So I think we're confident first of all and this would maybe is the right approach for this and maybe one could argue was sort of in the right approach from the beginning. I think also that in looking at their execution over these first few months, it's been quite good. So I think we're just seeing their execution and the way this transition has gone, it's going very, very smoothly. They’re executing very well, they’re moving very fast and they’re performing as we expected. So, so far I'd say we haven't [indiscernible] anything, but glowing green lights for our transition.
Steven Frankel: And did they get quarterly minimums that they have to meet?
Jeff Rosica: They do. I think a couple of different things we did. So in learning some lessons we were little more careful in the minimums for the year, so that we've got our growth profile we think they can meet and hopefully exceed. It is still strong growth, but it's a little bit less than we expected from Jetsen. But we also create a more linear or what I'd say more natural seasonality for the market. So we set their targets, so it's not a huge ramp in Q4. It's actually a set as we saw in China and we model that performance by quarter to them. So we’ve said it and what we would expect, that way we don't have any risk in the latter part of the agreement. And as they performed we've seen them keep pace of that very well so far. Now again, we're early in, but I think everything we’ve seen so far is quite good. But, yes, they have the minimum commitments, targets and we have a lot of teeth if they don't meet the minimum.
Steven Frankel: Okay. And then the last question, if expenses are going to be flat to flattish, let's say, it kind of says we went through most of the cost-cutting over the last couple years, yet the company if you take the midpoint of your guidance, isn't going to generate very much cash given the level of revenue. What needs to change or how do you change the dynamic given your debt load and the refinancing deadlines that you’re facing to generate enough cash to make that an easy process?
Brian Agle: So we will see the extra cash generation. So, of course -- so with OpEx being flat, we will count on seeing that improvement in gross margin of a more specifically seeing some growth on revenue. We think that we can get enough leverage out of that growth on revenue with effectively flat expenses that will continue to make progress on our cash flow and on our profit. To date I think with our performance over the last five quarters, I think we’ve strengthened our balance sheet, we’ve strengthened our credit profile, that -- which is evident from November when we did the extra debt with Cerberus. And so we think we’re in a good position. We certainly are aware of the deadlines or the maturity dates of our debt and we continue to strengthen ourselves or put ourselves in a position where we can do something is those deadlines approach.
Jeff Rosica: Yes, I think just add to that is also, while we're talking about operating expenses here, we still have opportunity as we talked about with our hardware transition and supply-chain transition as example. So it will go after cost in that supply chain as we change the chain supply, change our approach, we see opportunity. So we still will be looking at, as I said before, going after our COGS to help in the effort to bring the margins up to where they should be.
Steven Frankel: Okay, great. Thank you.
Operator: And we will go next to Hamed Khorsand with BWS Financials.
Hamed Khorsand: Hi. Jeff, I wanted to start off asking you what is your strategy regarding sales and the focus there?
Jeff Rosica: Well -- okay, so I as a person came from sales and lead that organization over time, I think I'm still pretty clear on what our strategy is. I think that we will continue to be very, very aggressive on the enterprise side to really go after more market share and more wallet share in that space with each of our customers. We have actually a very strong leader of sales, he’s actually has been in place in the company for a number of years. He actually turned around our European business and then was promoted to the head of worldwide and I will tell you that he's done a good job with a new leadership team in Americas to improve the Americas business. So I think we will keep going on that strategy, a very aggressive strategy. When I say aggressive, I don't mean price point. I mean a very aggressive tactics in what we’re going to do from the enterprise side. And then we will continue to work very hard to optimize our channel performance. We put in a lot of focus on that and we are also putting a lot of focus on the digital go-to-market. We've seen significant as you saw from the results, especially not just in Q4, but over the course of the year. We’ve seen terrific results with our digital go-to-market strategy and we’re going to continue to lean into that very, very heavily, we put a new team in place in that group during the quarter -- during Q4 and we think we've really got the right team there to drive the growth in that area. And that part of our business is becoming a pretty meaningful part of our of our earnings.
Hamed Khorsand: Okay. Now with the digital strategy is that all because of being aggressive on price and with the renewals as well?
Brian Agle: No, no. it's not. In fact our digital strategy is often, though we do occasional promos on the Web site, most of that business is done actually at this price. We -- our digital strategy is really about our e-commerce strategy. It's about our in app experience where people can actually acquire or buy options or upgrades or even do the renewals in the app. It's also things in our marketplace where we are able to market not just Avid Solutions, but third-party plug-ins and software modules etcetera. So it's all part of that cohesive strategy. And [indiscernible] that go-to-market is actually a pretty efficient go-to-market, the cost base on that is quite good. So it's a very solid generator of -- like I said, it's a meaningful contributor to our earnings.
Hamed Khorsand: You mentioned earlier about the hardware product refresh, is that coming this year and what kind of impact does that have on the income statement?
Brian Agle: Well, I wouldn’t say that. So what I meant by the comments before is, first of all, we are always in the midst of a hardware refresh. I mean, we just -- a hardware refresh, the NEXIS storage product line will continue to add products as necessary in that product family. We also as announced just earlier or late 2017 we're changing over from our AIR Spring -- AirSpeed product to which is our video server. We don't mean -- I don’t mean CPU server, I mean, more video server for ingest and playback. And we're changing that over to the new faster line, which was a complete hardware refresh that we're in the middle of executing on this year. I would say we have more plans for 2018 and beyond. But I think what I was referring to more importantly [indiscernible] is we’re looking carefully at our whole hardware strategy, because we think we've got more opportunity there if we execute right and we’ve got to change our global supply chain to really effectively do that.
Hamed Khorsand: And why did you guys move away from giving quarterly free cash flow guidance?
Brian Agle: So as you can see we really narrow to what we think are most important, the revenue and EBITDA. You may also know that from last year this is reasonably -- other than the moving of the bonus, it's a reasonably predictable cash flow. For us it just allows us to focus on generating cash flow for the year and to focus on delivering results on revenue and EBITDA by the quarter.
Hamed Khorsand: Okay. I guess, save some investment sometime, what does the Board thinks that the executives should get paid this past year? I mean the stock [indiscernible] you guys have just shredded along on the free cash flow line. So I’m just trying to figure out what the compensation bonus are going to be like?
Brian Agle: So I think there has been some progress made, given that on free cash flow we've improved $61 million. So I think that's good. I think we’ve seen growth. As I mentioned, second half of the year we saw revenue growth. We’ve seen EBITDA growth. So we’re making progress and I think the key is just to continue to make that progress.
Hamed Khorsand: Okay. All right. Okay. Thank you.
Brian Agle: Thank you.
Jeff Rosica: Thanks.
Operator: We will take our next question from Matthew Galinko with Sidoti.
Matthew Galinko: Hey, good afternoon, guys.
Jeff Rosica: Good afternoon, Matt.
Matthew Galinko: Hey can you disclose what the mix of recurring type orders were at this quarter?
Brian Agle: Yes, happy to do that. So, this quarter in recurring revenue bookings of 51%.
Matthew Galinko: Got it. And just so I have that top line, what was that compared to the prior quarter and year, if you have it?
Brian Agle: Maybe one minute here. So prior quarter was 41 -- excuse me 40 -- call 45%. Prior year it was 46.8%.
Matthew Galinko: Got you. Okay. So was there any or -- can you quantify if there was any margin headwind as a result of the greater mix of recurring orders or if there was any?
Brian Agle: No, I think really the headwinds were just more the hardware and more -- little more of some of the more challenging professional services deals that we're dealing -- that we are engaged with.
Matthew Galinko: Okay. Also historically you’ve named some of the MediaCentral deals. I think you mentioned you signed a few this quarter, but is it a shift in policy that you're not kind of name the wins or can we still expect to hear some specific going forward?
Brian Agle: Yes, it's a good question, Matt. Actually I knew that question was coming. That’s actually a change in policy for me and Jeff. We will name the deals at the appropriate time, but I'm not going to rush them into naming them at the earnings calls, because often we’re working through with that customer, the timing and when we’re going to deploy. But more importantly, I don't want [indiscernible] hand and my competition. I'm sure there are competitors on this call. We will [indiscernible] our hand to what we’ve secured when we think it's the right time to announce it.
Matthew Galinko: Got you. Excellent. I appreciate it.
Jeff Rosica: You may see -- I will say this -- I will say, if you may see a little gap because I’m slowing down when we announce it. But you will see a cadence pick up and you will see them continue on. Just I’m going to put a little bit of delay of naming them, just so we’re not [indiscernible] our hand.
Matthew Galinko: Got it. Can you, I guess, qualitatively describe whether the size of the orders is generally increasing or may be point towards what's triggering the increasing cadence if their particular strategies are workflows that customers are upgrading and getting pulled in on or just what’s -- anymore specifics of what's going on there, that you can talk about?
Brian Agle: Yes, sure. We will make it clear. One thing is important to note is, it wasn’t one big order that that moves the needle on the non-China results that we show they’re on bookings. It's actually a large quantity of orders and they range from $1 million orders to a few million dollars. And so, I think -- and I think there's a very -- a large number of the deals that we close in Q4. I think what’s happening is that the strategy we started to deploy, the make was all the way back to the deal that I was personally involved in with Sinclair. But I think the pace is picking up because more and more customers are understanding the results, and what they can get from that strategy. And I think our sales team is getting better at executing on that, And I think you just see a general momentum, because once yourself, you then use those customers references, when you can go public and then those are used by our sales team to get more customers to consider it. So I think it's just a building momentum that we're seeing in the strategy.
Matthew Galinko: Got you. I really appreciate.
Jeff Rosica: We are very happy with the number of deals we got, because it wasn't one or two lumpy. It was a quite a few deals that made up the upside in bookings.
Matthew Galinko: Got you. And is it fair to assume that the sales cycle is shortening relative to -- kind of your first couple of big ones?
Brian Agle: Yes, I think the sales cycles from a customer standpoint is still similar. I think our team is able to execute on it faster is really what it is. I think we've gotten our sales leader, he's -- I was [indiscernible] our company I was a good sales leader. Tom [indiscernible] is a great sales leader. And I think he's done a really good job training the team and get the team really focus around this effort. So I think we're just seeing the building of that. Also don't forget end of the year is a good time when you can get customers to sign up to these things when they’re planning their budgets for the following year. So I think what generally I would see -- typically we will probably see a lot of strength in the latter part of the year on those kind of deals.
Matthew Galinko: I appreciate the color.
Brian Agle: Thanks, Matt.
Operator: And we will go next to David Cohen with Midwood Capital.
David Cohen: Hi, guys. I just want to clarify the treatment of the harmonic litigation payment and was it $5 million that was reducing operating expenses, therefore increasing op income or non-GAAP op income adjusted EBITDA and adjusted free cash?
Brian Agle: So, just the -- the cash payment that we received was less than $5 million. But the actual expense, the recognition of the benefit of the current cash as well as future cash flow was $5 million. So we got a contra expense benefit for $5 million and a cash payment in Q4 of $2.5 million.
David Cohen: Okay. So the $5 million flow-through into adjusted EBITDA, but $2.5 million, the cash portion into adjusted free cash flow, is that accurate?
Brian Agle: That's correct.
David Cohen: And so, I guess, more philosophically given the fact that there are future cash payments, but having recognized the income and it is being nonrecurring, why it's not treated the same way as a nonrecurring benefit, the same way your efficiency program expenses, your restructuring expenses, your integration expenses are backed out of all of these metrics? So nonrecurring benefit isn't backed out.
Brian Agle: Yes. So, one thing you have to realize is we were -- we vigorously pursued this, this lawsuit. And so we also included a reasonable amount of legal expenses. And so effectively it's an offset. And so, if anything I think as we go forward, we might have we will be fine, because we will get more cash from 2019 and we don't have to worry about the incurrence of these legal fees.
David Cohen: And never have you back out the legal expenses along the way?
Brian Agle: We have not. They’ve showed up in OpEx.
David Cohen: Okay. Thanks, guys.
Operator: Thank you. That concludes our question-and-answer session today. I’d like to turn the conference back over to Mr. Ridlon for any additional or closing remarks.
Dean Ridlon: Thank you, Glenn, and thank you all for joining us. But before we sign off today, I’d like to extend an invitation to the investor community to visit with us at the beginning of April doing two of our largest Annual Trade Events. First, Avid and the Avid Customer Association will convene for the fifth annual Avid Connect Conference. Our agenda is larger than ever and we will focus on helping attendees to interact and learn directly from the creative technical and business peers or at the forefront of industry innovation and transformation. Immediately following that is -- following Avid Connect, Avid will kick off its NAB Show activities, when we will demonstrate our latest wave of new products which have been influenced through our deep commitment to the Avid's global customer and user community. You can easily register on our Web site for Avid Connect and contact me to book time to meet with us at the NAB Show, and we hope to see you there. With that, thank you all for joining us today. We look forward to speaking with you again when we release our Q1 results in May. Have a good night.
Jeff Rosica: Thank you.
Operator: Thanks, everyone. That does conclude today’s conference. We thank you for your participation. You may now disconnect.